Operator: Good day, everyone, and welcome to iSpecimen's Full-Year 2023 Results Conference Call. At this time, all participants are in a listen-only mode. This conference call is being recorded. A replay of today's call will be available on the Investor Relations section of iSpecimen's website and will remain posted for the next 30 days. I will now hand the call over to Phil Carlson, Investor Relations for introductions and the reading of the safe harbor statement. If there are any questions for the management following the call, please e-mail iSpecimen@kcsa.com. Please go ahead.
Phil Carlson: Thank you, operator. Good morning, everyone, and welcome to iSpecimen's 2023 full-year results conference call. With us on today's call is Tracy Curley, Chief Executive Officer; and Eric Langlois, Chief Revenue Officer. Before we begin, I would like to remind you that today's call contains certain forward-looking statements from our management made within the meaning of Section 27A of the Securities Act of 1933, as amended and Section 21E of the Securities and Exchange Act of 1934 as amended concerning future events. Words such as may, should, projects, expects, intends, plans, believes, anticipates, hopes, estimates and variations of such words and similar expressions are intended to identify forward-looking statements. These statements are subject to numerous conditions, many of which are beyond the control of the Company, including those set forth in the Risk Factors section of the Company's Form 10-K for the year ended December 31, 2023, filed with the SEC. Copies of this document are available on the SEC's website at www.sec.gov. Actual results may differ materially from those expressed or implied by such forward-looking statements. The Company undertakes no obligation to update these statements or revisions or changes after the date of this call, except as required by law. Now it's my pleasure to introduce Tracy Curley, Chief Executive Officer. Tracy, please go ahead.
Tracy Curley: Good morning, and thank you for joining our call. Throughout 2023, we worked diligently to streamline our operations, reduce costs and right-size our business. By driving operational efficiencies throughout the company, we are increasingly able to realize the true value of the iSpecimen Marketplace quarter-over-quarter and even month-to-month. On today's call, I will discuss how these ongoing improvements have strengthened iSpecimen's position operationally, at what we believe to be the forefront of the biospecimen procurement market. I will then turn the call over to our Chief Revenue Officer, Eric Langlois, who will address the advancements we made in 2023 and the revenue enhancement initiative for sequencing, which has launched a higher margin revenue stream for iSpecimen. Finally, I will review our financial results for the 2023 year-end. At the beginning of Q4 2023 and in preparation for 2024, we completed a top to bottom review of the entire business, and concluded that focusing on specific initiatives capable of contributing to our topline growth, would provide a clear path to future success. To accomplish our goals, we launched several important marketing initiatives and realigned our sales efforts, several of which helped the company generate $1.7 million in revenue in December, the strongest sales month in our history. Also encouraging for the fourth quarter, we have sanctioned over $3.1 million in specimens. Unfortunately, Q4 revenue was negatively impacted by one-time customer credits of approximately $545,000, which reduced our GAAP basis revenue. This was due to our adoption of a more robust returns process. As we continue to streamline our operations and focus on our core business, we believe we are well positioned to capitalize on these operational achievements, scale our proven biospecimen procurement platform and achieve improved levels of growth throughout the remainder of 2024. The key driver of our record December sales results and our most promising initiatives for continued topline growth has been our Next-Day Quote program, which we launched in September 2023. Through this initiative, we believe we have successfully unlocked the underlying potential of the iSpecimen Marketplace, which we expect to yield stronger financial results for the company going forward. In the fourth quarter, our first full quarter having Next-Day Quote, we significantly reduced the sales time line by improving the conversion of quotes to purchase orders, which in turn led to an increased sales momentum as well as a stronger backlog. As a result of the utilization of Next-Day Quote, during the fourth quarter, we achieved a 39% increase in conversions of quotes to purchase orders compared to the average from all prior quarters in 2023. The success of this program can also be seen when looking at our sales breakdown in the fourth quarter, where 32% of our total sales were attributable to the Next-Day Quote program, surpassing our internal projections. Based on the impact this program has had on our sales, strong customer and supplier feedback and the proven capabilities of our platform underlying technology, we believe Next-Day Quote will increasingly contribute to sales. Our goal is to steadily build this program, so that Next-Day Quote eventually accounts for a significant percentage of our total sales. We believe we can achieve these results with the rollout of our supplier contract refresh program, a new initiative to recontract with our suppliers to improve their engagement with us. In doing so, we are mining comprehensive information from our suppliers, including detailed capabilities, standard minimum pricing and a periodically scheduled refreshed list of their inventories. This program is enabling us to provide even more information than ever before to our customers on our platform, thereby greatly increasing the number of samples available via Next-Day Quote. In 2023, we identified and implemented at four key supplier sites, our embedded coordinator program, assigning dedicated iSpecimen professionals charged with supporting and expediting the fulfillment of customer orders and ultimately driving increased revenue. We had expected to rollout more sites in 2023, but paused the program due to preparations related to our supplier contract refresh program. Embedding a coordinator at site or certain business criteria are determined to be sustainable, both hand in hand with the objective of the supplier contract refresh program, and we are prepared to advance our embedded coordinator program in 2024, as we refresh contracts with suppliers. Finally, we have reevaluated the quality of our supplier network. To maintain our leadership position and to support the evolving needs of our research customers, we've shifted our attention from quantity to quality. It's not that quality wasn't historically being emphasized, it's simply recognizing that maintaining the highest quality supplier network possible is paramount to our long-term success, even if it means reducing the size of our overall network. Throughout 2023, in addition to finding new high-quality supplier agreements and expanding existing supplier relationships, we began identifying suppliers that no longer meet our business and technology criteria. Throughout 2024, we plan to terminate contracts with suppliers, where our criteria are not being met. At the same time, we continue to expand our network to offer high-demand specimens with cancer, hematology, cardiovascular, autoimmune, neurological, endocrine, metabolic and infectious disease categories, among others. I would like to now turn the call over to Eric Langlois, Chief Revenue Officer, to discuss the advancements that have strengthened the iSpecimen Marketplace and provide a status update on our revenue-enhancing initiative for sequencing as well as an update of the scales and marketing initiatives for 2024, all of which are expected to drive long-term growth for iSpecimen. Eric, please go ahead.
Eric Langlois: Thank you, Tracy. First, the technology recap. We've been strategically focused on leveraging the technology advancements we've made in the first half of 2023 to unlock the full potential of our core business, which we are now seeing in our operational and financial results. These technology efforts consisted of updating search functionality, improving the user interface, increasing automation and enhanced matchmaking. The matchmaking module allows us to automatically match supply sites to a project based on the specific criteria, paired with the site's capabilities. This module in particular, when combined with our Next-Day Quote initiative, has had immense impact on the speed of our sales funnel, allowing our sales team to move opportunities to quote more rapidly, leading to higher win rates. Our ability to consistently innovate and improve the iSpecimen Marketplace will make our platform one of the premier solutions for connecting researchers and providers. In addition, these advancements have allowed us to effectively rollout our revenue-enhancing programs. Finally, we have also enhanced our curator remnant program, which has allowed us to update our supplier list as well as the test and analyze codes we offer in order to locate a greater array of specimen. Importantly, we began seeing improved results from our remnant line of business in Q4 2023 and that is carried over in the Q1 2024. Next, cancer sequencing. One of the most impactful and visionary revenue enhancement initiatives is our cancer sequencing program. In addition to having the potential to elevate iSpecimen's leadership position in our industry, it also offers the opportunity to significantly change the future of cancer research. Through our cancer sequencing program, we can provide cancer researchers with on-demand access to sequence biospecimens that enable them to advance their research. There is a tremendous value in having extensive access to mutation characterized, formalin-fixed, paraffin-embedded cancer tumor tissues, as these characterized tumor tissues are extremely difficult to find and obtain. While this program has been well received by our customers, the sales cycle has taken longer than we originally anticipated. The commercial team is currently making the necessary marketing and sales adjustments to ensure the level of detail and follow-up required to secure and grow our sequencing business in a timely manner. These efforts are beginning to achieve traction, as evidenced by the increased momentum in customer conversations, as new budgets and research projects were initiated at the beginning of 2024. Launching a new product line cost effectively requires ongoing new business development outreach, which takes consistency, time and patience. Q4 2023 and Q1 2024, our prospecting efforts have secured a pipeline of approximately $1.5 million in new business opportunities, comprised of both existing and new customers. We've investigated 55 projects, which have resulted in 25 confirmed orders. Many of the projects that have not resulted in a win have been the direct result of being unable to find the particular marker is being requested. The overall pricing and value proposition of the program have been very well accepted by our customers. Now for sales and marketing initiatives for 2024. We continue to scale. We have launched a new sales strategy to maximize new business opportunities in 2024. We've moved to a team and line of business-oriented sales structure, with key account management being a primary focus. Five global zones have been created, each zone comprised of an account director and specialists in remnants and bank specimens. These own teams are associated with our line of business teams internally, which fosters better communication internally from marketing through fulfillment, while also giving accounts more focused on specialized retention. Sales team members are properly incentivized to focus on closing purchase orders and growing key accounts, rather than fulfillment, which is the domain of our operations teams. Most recently, we entered a pilot program with TriMetis Life Sciences, a provider of digital pathology, laboratory and AI workflow and automation solutions for hospitals, pathology, diagnostic and pharmaceutical companies. Initially focusing on a substantial subset of solid tumor types, utilizing TriMetis AI-powered automated digital pathology solutions, this partnership is expected to help standardize and enhance tissue sample evaluation, furthering our ability to support our research customers with the highest quality tissue samples available today. We are currently conducting a pilot test to screen a cohort of specimen. The next steps are technology and media integration, sales and marketing cross-training and finally, operational steps to ensure continuity. This relationship will allow iSpecimen's sales and marketing teams to highlight and focus on enhanced quality for our tissue customers. This also allows sales personnel to offer cost and time effective add-on services for tissue-related projects, which helps address important limitations. Tracy, I will now hand it over to you.
Tracy Curley: Thanks, Eric. Turning to our results. For the fiscal year ended December 31, 2023, revenue was approximately $9.93 million compared to approximately $10.4 million for the fiscal year ended December 31, 2022. The decrease in revenue for the 2023 fiscal year was primarily due to a decrease of 2,938 specimens or 11% in specimen count, from 27,503 specimens during the year ended December 31, 2022, to 24,565 specimens during the year ended December 31, 2023. The effect of the decrease in specimen count was partially offset by a change in the specimen mix, which resulted in the average selling price per specimen increasing by approximately $26 or 7%, from approximately $378 per specimen during the year ended December 31, 2022 to approximately $404 per specimen during the year ended December 31, 2023. To provide further color regarding the full-year results, during our Q1 2023 earnings call, we expressed our concern about what we perceived as a general economic uncertainty in our industry and an overall downturn in business. These concerns were realized, as our business was negatively impacted in Q2 2023. Despite the fact that we recognized record levels of opportunities in quote, we experienced lower-than-expected conversion of quotes to purchase orders in Q1 2023, which in turn left us with a much lower backlog of purchase orders at the beginning and early portion of Q2 2023 compared to prior quarters. As a result, we recorded approximately $1.63 million in revenue for Q2 2023. The average quarterly revenue recorded for the other three quarters of 2023 was approximately $2.77 million. Cost of revenue increased by approximately $63,000 or 1% from approximately $4.76 million for the year ended December 31, 2022, to approximately $4.82 million for the year ended December 31, 2023. Although there was an 11% decrease in our number of specimens of session during the year ended December 31, 2023, over the same prior year period, the average cost per specimen increased by 13% from approximately $173 per specimen for the year ended December 31, 2022, to approximately $196 per specimen for the year ended December 31, 2023. For the year ended December 31, 2023, we increased our cash spend for technology to approximately $5.39 million from approximately $4.45 million for the same period in the prior year. The increase in spend for the year ended December 31, 2023, compared to the same prior year's period is directly related to the record level of technology investment in 2023, which we believe has enabled the continued advancement of our online marketplace to be innovative in our industry. This spend was significantly greater at approximately $3.4 million for the first half of 2023. For the year ended December 31, 2023, this cash outlay was comprised of approximately $3.77 million of capitalized internally developed software and approximately $1.62 million of technology expenses that we were not able to capitalize and therefore classify this technology expense. The remainder of technology expense for the year ended December 31, 2023, was comprised of approximately $1.95 million of non-cash amortization related to internally developed software and approximately $142,000 related to stock compensation expense. Total technology expense for the year ended December 31, 2023, was approximately $3.57 million compared to approximately $2.66 million for the same period in the prior year. Sales and marketing expenses increased by approximately $511,000 or 15% from approximately $3.45 million for the year ended December 31, 2022, approximately $3.96 million for the year ended December 31, 2023. The increase was primarily attributable to increases in payroll and related expenses of approximately $345,000, external marketing expenses of approximately $201,000 and general and operating expenses related to sales and marketing of approximately $6,000, which was partially offset by a decrease in advertising and promotions expense of approximately $41,000. General and administrative expenses decreased by approximately $998,000 or 14% from approximately $6.93 million for the year ended December 31, 2022, approximately $594 million for the year ended December 31, 2023. As of December 31, 2023, iSpecimen had approximately $2.34 million of cash and approximately $2.66 million of available-for-sale securities, with maturities ranging from one to six months, for a combined total of approximately $5.01 million compared to a cash balance of approximately $15.31 million as of December 31, 2022. For 2023, the company had a cash burn of approximately $10.31 million, primarily comprised of approximately $5.58 million of operating expenses and of approximately $4.73 million for capitalized development of the iSpecimen Marketplace technology and our sequencing data. We have plans for significantly lower levels of operating expenses and capitalized investments in 2024. The deliberate investment this past year in our technology and sequencing initiatives, coupled with our inability to generate increased levels of revenue, have negatively impacted our cash and equivalents balances during the year. Throughout the year and primarily on September 6, 2023, the company executed a reduction in workforce, resulting in an estimated reduction in monthly compensation cost of approximately 29% and additional expenditure reductions estimated to be over 50% of monthly expenditures for the remainder of the year, after streamlining operations and rationalizing resources to focus on key market opportunities. As a result, the company experienced a significant decrease in expenditures during the second half of 2023 compared to the first half of 2023. The best way to articulate the impact of this is through understanding the quarterly cash burn for 2023. For Q1, Q2, Q3 and Q4, the quarterly cash burn was approximately $4.29 million, $2.81 million, $2.55 million and $657,000, respectively. As we focus on the 2024 strategy and budgeting process, we have been mindful of our cash position and continue to have a goal of being cash flow positive in 2024. On March 5, 2024, we entered into an aftermarket offering agreement, whereby we may issue and sell shares of our common stock from time to time on the open market with an aggregate offering price of up to $1.5 million through our shelf registration statement. We may seek additional funding through public equity or other sources to fund further capital investments or for general corporate purposes. I would like to thank everyone again for joining us on today's call and for your continued support. We have achieved great progress operationally in 2023, and we believe we are on track to advance our new revenue-generating sequencing opportunity in 2024, and with a stronger operational infrastructure in place. We look forward to updating you on our progress on our Q1 2024 results call during our quarterly conference call that is anticipated to take place in May 2024. With that, thank you, and have a great day.
Q - :
Operator: Thank you. And ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.